Operator: Thank you for standing by. This is the conference operator. Welcome to the AirBoss of America Third Quarter Conference Call. As a reminder all participants are in listen-only mode and the conference is being recorded. After the presentation there will be an opportunity to ask questions. [Operator Instructions]. I would now like to turn the conference over to Gren Schoch, Chief Executive Officer. Please go ahead sir.
Gren Schoch: Thank you, operator. Good morning everybody and thank you for joining us for the AirBoss Q3 2021 results conference call. I am Gren Schoch, I'm the Chairman and CEO of AirBoss. Here with me today are Chris Bitsakakis, our President and COO; Frank Ientile, our CFO; and Chris Figel, our Executive VP and General Counsel. In terms of an agenda, we'll take a few minutes to review some of the operational highlights for the quarter and then briefly review our financial results before opening the call to questions. Before we begin, I'd like to remind you that today's remarks include non-IFRS measures, reconciliations between our IFRS and non-IFRS results can be found in our MD&A. Additionally, management's outlook for 2021 and beyond, anticipated financial and operating results, our plans and objectives, and our answers to your questions may contain forward-looking information within the meaning of the applicable securities laws. In particular, expectations around the impact of the COVID-19 pandemic, potential acquisitions, results of operations, and financial condition and that of our customers and partners are uncertain and subject to change. The forward-looking information represents our expectations as of today and accordingly is subject to change. Such information is based on current assumptions that may not materialize and are subject to a number of important risks and uncertainties. Actual results may differ materially, and listeners are cautioned not to place undue reliance on this forward-looking information. A description of the risks that may affect future results is contained in AirBoss' AIF and MD&A, which is available on our corporate website and in our filings with the Canadian Securities Administers on SEDAR at www.sedar.com. With that, I will now turn this call over to Chris Bitsakakis, for our operational review. 
Chris Bitsakakis: Thank you, Gren and good morning, everyone. I'm happy to report another strong quarter in Q3 2021, including the production and final commencement of shipments of nitrile patient examination gloves for the U.S. Strategic National Stockpile for HHS. This order worth up to 288 million was an enormous undertaking to produce and deliver 18 million boxes of critically important nitrile gloves. West Coast port backlogs resulted in the shifting of 116 million of sales from this order into the fourth quarter. However, despite this delay, we are reiterating our 2021 outlook and expect record results in the fourth quarter. In the process of ramping up this order our working capital requirements increased significantly to fund short-term acquisition costs related to gloves. However, completion of the delivery of the HHS glove contract and resulting payments will result in the deleveraging of the company in the near-term. We therefore expect to enter 2022 in an extremely strong position, just as we entered 2021 with the financial flexibility and expertise to execute on more large scale contracts, and to pursue further M&A to accelerate our growth strategy.  In 2021, we have utilized our financial flexibility to accomplish multiple strategic growth initiatives. We completed delivery of our powered air purifying respirators and related peripherals to HHS, and then executed on even larger HHS order for nitrile gloves. We completed payments related to the acquisition of full control of the AirBoss Defense Group. We acquired B3 giving us full control and protection of its blast gauge technology prior to anticipated sourcing of major government contracts for over overpressure protection for soldiers. We invested in the design and development of AirBoss 100 Half Mask Respirator, a more affordable alternative to our successful FlexAir powered air purifying respirator at a lower price point having just recently received NIOSH approval for this exciting new product.  In Q3 we successfully completed the acquisition of 100% ownership of ACE Elastomer for U.S. $42.5 million, which has propelled AirBoss Rubber Solutions into a market leading position, color and specialty rubber compounding and expanded our geographic penetration in the U.S. In AirBoss engineered products we have completed our modernization program having now invested in and installed new technology to improve automation and efficiency. We also were able to increase our quarterly dividends by 43%. Our strategic and careful use of our financial flexibility in 2021 has put us in a position to continue to grow organically and inorganically, and despite the significant investments this year, we will find ourselves with a similarly strong balance sheet position with growth momentum going into 2022. The company's ability to generate cash and utilize that cash to continue to grow is a derivative of the solid operational and tactical execution of detailed growth plans driven by focus on innovation and diversification as the main driving forces behind both top and bottom line growth.  Notably, we introduced the combination of domestic sourcing and advanced buying tactics, along with the development of alternative sources to help mitigate the impact of numerous global challenges on our businesses. Despite headwinds such as ongoing global freight, labor, and logistics challenges, raw material price escalations and constraints, and the continued impact of the COVID-19 pandemic, we continue to perform well and effectively managed our operations throughout the third quarter. We expect our positive momentum to continue as we round out 2021 and prepare to enter 2022. While we expect the industry headwinds to continue through the remainder of 2021, we have solidified our position this year as a leading supplier of personal protective equipment to the healthcare and survivability sectors, while making investments to position AirBoss Defense Group, AirBoss Rubber Solutions, and AirBoss Engineered Products for strong performance coming out of the pandemic as the economy stabilizes.  As it relates to ATG, the segment continued to execute on its growth strategy, including the continued evolution of a full survivability platform, increased penetration of the healthcare sector, increasing defense sales, and reducing cyclicality of orders by expanding our proprietary products. With completion of the HHS nitrile glove order anticipated in Q4, we will have executed successfully on more than half a billion dollars of orders from the U.S. government in 2020 and 2021, cementing our status as a trusted large scale supplier of protective equipment for frontline health care, defense, and law enforcement personnel able to deliver high quality products during the most challenging of supply chain dynamics. We will also be one of the largest importers of nitrile gloves in the U.S. for several months running.  We pursue more large scale government health care PPE contracts and other survivability equipment contracts, as well as domestic and international contracts for supply of CBRN wearables and potential orders for new Husky 2G vehicles and related vehicle sensors and equipment in our record 1 billion plus sales pipeline over the next 24 months. We remain confident we will win a portion of these. We are also preparing to market our recently approved AirBoss 100 Half Mask Respirator, a product designed to fulfill the gap in PPE for key government agencies. Designed and developed by AirBoss in consultation with first responders and healthcare professionals, this new reusable respirator expands our range of certified respiratory protection products for medical, defense, and law enforcement personnel operating high risk environments. It is designed to provide filtered particulate protection from Chem Bio agents and contaminants at a 99.97% level and builds on the success within the healthcare sector of our existing NIOSH approved FlexAir powered air purifying respirator systems. The AirBoss 100 is designed to provide the same level of respiratory protection as the FlexAir Power, but a lower price point as a result of a more portable design, not requiring a battery operated blower. This innovative new product will open the aperture of available high level protection for first responders and healthcare workers far beyond what is available to them today.  As I noted previously, our sales pipeline only includes active or imminent sales opportunities, and excludes the potential completion for the supply of gas masks to the U.S. military, which we are hopeful to compete for and win as our industry leading low burden mask did in recent years in Canada and Australia. Such a contract would be worth upwards of a billion dollars of sales over an extended timeframe. It also excludes large scale rollout of our Blast Gauges, which are currently in field testing with the U.S. Army and in competition for the U.S. Special Operations Command. The magnitude and continued increase in sales opportunities compared to previous years gives us optimism for continued growth at ATG in the coming years.  Our longer term priorities include capitalizing on ATG's enhanced scale and capabilities to pursue an array of growth and value creation opportunities in the broader survivability solution segment, serving both defense and first responder and healthcare markets. We're also building a more global approach to sales of our survivability products, including a new team focused on Europe and Asia, most notably India. While in the short to mid-term ATG is anticipated to continue to be our primary driver of profits, we are also expecting improvements in our Rubber Solutions and Engineered Product segments though there are still potential for COVID-19 related weakness, including ongoing supply chain challenges for the remainder of the year.  At AirBoss Rubber Solutions, we have seen increased top line growth momentum through margins, though margins were compressed by the rapid escalation of pandemic related raw material, freight and labor challenges while realized a marked reduction of government subsidies. We are seeing continued benefits of the sizeable capital investments that we made in AirBoss Rubber Solutions, notably an upgraded equipment and growth initiatives, including increasing our compounding capacity in the Southeastern U.S., and adding dedicated color and specialty compounding lines along with a new R&D lab at our flagship facility in Kitchener, Ontario. ARS continues to focus on optimizing its equipment capacity, specifically in Scotland Neck, North Carolina while continuing to optimize the use of the automated small ingredient weightman system in Kitchener, which is running at steady capacity.  Despite adding 15% capacity from our organic investments, excluding AS, we are now running at over 70% of the upsize capacity versus 60% in 2017, before we began the transformation of ARS. This includes approximately two thirds utilization of our new color line and one third utilization of our specialty company [ph] line. We also maintained significant capacity for organic growth, including through further automation. The addition of Ace Elastomer has significantly accelerated ARS’s strategy to expand from traditional black high volume product lines into lower volume higher margin color and specialty markets. In addition, the acquisition has expanded ARS’s reach into the U.S. South and Midwest with minimal overlap in customer base and presents opportunities for further revenue synergies.  ARS recorded strong year-over-year increases in volumes as well as progressive traction this quarter with increases across the vast majority of sectors due to the increased momentum at most customer’s operations. However, continued significant raw material price increases, coupled with international freight constraints proved challenging on the supply chain. This was further challenged by continued labor shortages, primarily driven by the pandemic. The company continues to take advantage of its scale and global supply chain management expertise, so onboard new customers seeking new suppliers in the current environment to drive volume and growth in its core markets, which will now be expanded into the U.S. South and Midwest by leveraging Ace’s geographic footprint.  ARS’s focus going forward will be on operational excellence and the production of a broad array of compounded products white in color in Kitchener. AirBoss continued to invest in its R&D expertise in lab capital to support enhanced collaboration with customers and better reflect the company's focus on innovative R&D and proprietary technical solutions. Our longer-term priority for ARS remains to grow this segment by positioning it as a specialty supplier of choice in the North American market, with a growing focus on building defensible leadership positions in selected compound categories. We are currently reviewing potential regional expansion to the West Coast, where we have customers interest in facilitating our entrance. Although still early in the planning phases, our approach to enter that region maybe through acquisition or Greenfield or some combination thereof.  In Engineered Products, we have continued to focus on our three-part strategy to reduce operating expenses, produce more innovative higher margin products, and expand into non-automotive sectors. In Q3, we executed on our operational improvement plan, including managing variable costs and focusing on sustaining a stable workforce force, while weathering the volume volatility in the automotive sector, and specifically on our products for SUV, light truck, and minivan platforms. We continue to drive efficiencies and best in class automation through the installation of a new molding platform to replace one that is more than 20 years old, which included installation of 22 new injection molding presses in a multi-year investment with the majority being installed in Q3.  In Q4 we will be installing our second fully robotic automated work cell, which will help us continue to reduce labor costs and high volume work cells, a critical requirement to increase our competitiveness with low cost operations in Asia. By the end of 2021, we expect to have completed the modernization of AEP’s asset base to the highest and most efficient standards, resulting in the ability to both increase our capability to produce more sophisticated higher margin products and lower operating expenses. Leveraging our modernized equipment, our technical team continues to identify opportunities to utilize our new molding platform to produce higher quality, higher margin products. An example is our new hydraulic bushings and mounts for NVH products for non-automotive sectors. And our new team of engineers and commercial sales also continue to seek opportunities to develop new products for non-traditional sectors, including potential military use.  In addition, the engineered product segment has also continued to stay in the production of certain molded defense products for ATG at its Auburn Hills, Michigan facility. Despite near term supply chain challenges, our longer term priority remains to drive improved performance from AEP through a combination of disciplined cost containment, client relationship expansion, new product development, sector diversification, and a much more aggressive stance on the renegotiation of low margin contracts, and any contracts that's not allowed for frequent raw material escalation clauses. As an organization, our continued momentum has placed us in a strong financial position, and has given us the ability to be aggressive with opportunities that present themselves. While we have a clear strategy to grow organically, historically, we have also undertaken strategic M&A in order to make critical acquisitions, diversify our products and customer base, and penetrate new sectors. We continue to seek ways to leverage our balance sheet strength and accelerate our growth strategy through M&A as evidenced by recent acquisition of Ace.  Our M&A strategy focuses on targeting additional acquisition opportunities across the enterprise, with a focus on adding products or compounds advanced technical capabilities in geographic regions of selected North American and international markets. As it relates to our outlook, our growth is not dependent on M&A. It is difficult to predict the continued normalization of the economy in the near term due to the impact of COVID-19, including global supply chain issues. But as I have stated previously, the outlook remains healthy over the medium term with industry estimates for approximately 4% top line growth over the next five years. We have obviously outperformed the industry over the past number of years, and our aim remains to continue expanding our market share while increasing our margins through a combination of product mix and operational efficiencies, complemented with strategic and disciplined M&A. Our focus remains to cultivate strong internal processes that lead to organic growth and excess of market growth, while assessing both tuck in and transformational acquisitions, as we look to leverage our strong balance sheet to accelerate our growth. With that, I will now pass the call over to Frank for the financial review. Frank.
Frank Ientile: Thank you, Chris and good morning everyone. As a reminder, please note all dollar amounts presented are in U.S. dollars except for dividends per share, which are in Canadian dollars. Percentage growth figures are for Q3 2021 versus Q3 2020 unless otherwise noted. Starting from the top, compared to Q3 2020, external net sales decreased 31% to 112 million on a consolidated basis, largely due to ATG’s delivery of the FEMA HHS PAPR contracts in the prior year. These decreases were partially offset by the increased sales at rubber solutions across the majority of customer sectors. Consolidated gross profit decreased 44%, with margins declining to approximately 23%, primarily due to product mix in the ATG segment in addition to government directed subsidies recognized in Q3 2020. Adjusted EBITDA decreased by 63% to 14 million with the declining gross profit impacted by higher administrative costs. Profit and adjusted profit attributable to the owners of the company was just over 6.9 million or $0.24 per diluted share, compared to 11.7 million or $0.47 per diluted share in Q3 of 2020.  Turning to our individual segments ATG's net sales decreased 52% to 52 million with a decrease primarily due to the commencement of the large FEMA and HHS PAPR contract in Q3 of 2020, which was partially offset by the continued delivery of the HHS nitrile patient examination gloves in Q3 of 2021. Gross profit at AirBoss Defense Group decreased by 39% to 23 million, with the decrease driven by the change in sales previously noted along with the reduction of government directed wage subsidies compared to the same period in the prior year, partially offset by favorable mix of certain other products.  Net sales at our AirBoss Rubber Solutions increased 34% as volumes were up 4.7% with increases across the vast majority of sectors due to the increased momentum at most customers operations despite continuing supply chain challenges related to raw materials supply and elevated freight costs. Gross profit at ARS decreased by 12% driven by increased raw materials, labor and logistics costs, and a decrease in government directed subsidies partially offset by an increase in non-tolling volumes and managing controllable overhead costs.  Net sales at the Engineered Product segment decreased by 25% to $28 million due to the lower volumes in the SUV, light truck, and minivan platforms related to the global electronic chip shortages, combined with raw material shortages, freight and logistics bottlenecks, which continued to challenge production schedules across all OEMs and tier one suppliers. This was partially offset by production of certain molded defense products. Gross profit at AEP decreased by 5.1 million to a loss of 1.3 million. This was primarily a result of lower volumes in part due to the global electronic chip shortages in the automotive sector combined with increased raw material costs, raw material shortages, in addition to freight and logistics constraints, partially offset by a continued focus on controllable operational cost containment.  Free cash flow for the quarter was an outflow of approximately 130 million with decreased profits, cash used for working capital of 139 million, and tax payments of 1.7 million. The working capital outflow was primarily used to fund inventory and shipping costs to deliver nitrile gloves for HHS, and inventory for safety stock at Rubber Solutions. CAPEX was 4.7 million in Q3 and has been approximately 13 million in 2021 year-to-date. Our balance sheet and liquidity is in a strong position to support further M&A, or other internal growth investments or increased revolving credit availability is now 250 million up from 150 million, with the accordion of 75 million up from 50 million. Approximately 200 million was drawn at the end of Q3 to pay -- repay prior amortizing term loan and to fund working capital related to the acquisition of nitrile glove inventories for HHS. At the end of the quarter, we had net debt of 186 million for a net leverage ratio of 2.17 times EBITDA. We are reaffirming our 2021 guidance ranges for 2021 as provided in our March 16, 2021 news release, and reiterated on May 12th, and August 10th. Operator that concludes our prepared remarks this morning, we would now like to open the call to questions.
Operator: Thank you. [Operator Instructions]. Our first question is from Yuri Lynk with Canaccord Genuity. Please go ahead.
Yuri Lynk: Hi, good morning guys. 
Gren Schoch: Good morning. 
Yuri Lynk: Maybe just some updated thoughts on the Ace acquisition, how you're thinking if you're thinking on revenue synergy potential has changed at all and if there's any early wins that you can point out between cross selling, between the legacy and Ace? 
Frank Ientile: Yeah, I can talk to that Yuri. We had a fairly, I'd say conservative view of the revenue synergies when we made the acquisition of Ace. But I can tell you that as we look at it now, we expect to be able to outperform those expectations that we placed on ourselves. We've already had a couple of early wins, we've visited all the key customers of Ace that currently buy colored material from Ace. They had -- we have a couple of cases where some of those customers needed additional capacity and because we have some open capacity in Kitchener, we were able to fulfill sort of a combination plan between Kitchener and Ace to address those needs. And many of those customers also were buying black rubber from other competitors and we have entered conversations about increasing the black rubber component based on their strong relationship with Ace. So although this takes a little bit of a lag to get some of these to hit, we have reason to be very optimistic that the Ace acquisition will continue to drive revenue synergies, and cost synergies for that matter, because our technical team, which is very strong has been an Ace, and has been working with them on technology and efficiency improvements, that as a smaller private company they didn't really have access to. So we see this playing out quite nicely as we go forward with this acquisition of Ace.
Yuri Lynk: The ability to cross sell your traditional compounds, the black compounds, how dependent is that on your facilities location vis-à-vis the customer?
Frank Ientile: Because Ace is located in South Carolina and we have a black rubber mixing plant in Scotland Neck, North Carolina we're in that same sort of region where we can support their existing clientele with the products out of Scotland Neck. So we think regionally it's going to be a nice overlap because there wasn't hardly any, if any customer overlap. But because of the strong reputation Ace has had in the many, many years of good performance at these customers, there have been doors open for us that weren't necessarily there before. And the acquisition of Ace by AirBoss was received very well by Ace’s customers. And because of that, we started out I think quite strong.
Yuri Lynk: Sounds good. Chris, while I have you, any update on the bid pipeline, I mean, how are you feeling today versus a couple of months ago in terms of your confidence in bringing in an order that might underpin 2022?
Chris Bitsakakis: Yeah, as we have mentioned before the bid pipeline and we define pipeline as opportunities where they're currently negotiating on or have submitted a bid or where it's imminent that we will be submitting a bid. And the pipeline has grown significantly. It hasn't gone backwards in any way and so our optimism related to being able to secure a large portion of what we see ahead of us is quite high.
Yuri Lynk: I will get back in the queue. 
Operator: Our next question is from David Ocampo with Cormark Securities. Please go ahead.
David Ocampo: Good morning, everyone.
Gren Schoch: Good morning. 
David Ocampo: Do you see or hear any commentary about the remaining $288 million option for the nitrile gloves, I'm just curious where that stands today, or does that remaining $288 million just go back into an RFP process with the government?
Frank Ientile: Yeah, so we expect that the government will, instead of issuing the option will have a recompete for a couple of reasons, the main one being that the requirements are larger, and there seems to be some added capacity. So, we believe that there will be a recompete. It may be larger but right now our key customers are focusing on other health care products and they have put that on the backburner. And so we are focusing on other opportunities other than the nitrile glove option right now. But we do expect that to come back and we do expect there would still be significant demand in 2022, for a new competition on gloves, which we should be well positioned for then as well. 
David Ocampo: And Chris, can you talk about some of those near term opportunities or is that still early to disclose? 
Chris Bitsakakis: For now, we have not disclosed any of those near-term opportunities publicly. But what we have said is that we are actively in negotiations on multiple opportunities and we feel very optimistic that 2022 will have a lot of momentum going into it. 
David Ocampo: Okay, just shifting gears here to the automotive side, and that's an area that's pretty notorious for having price decreases every year. But when we look across the board, the inflationary pressures are probably much higher than they've ever been before, we've heard labor increases as high as 10% or 15%. And raw material prices are going through the roof. So have you had any discussions with your customers on potential rate increases or should we think about your older contracts as kind of negative or zero margin business going forward?
Chris Bitsakakis: So it's kind of a mixed bag there, David. We have some of our customers we've -- let's say, we've approached every single customer and we've been successful, with multiple customers on adjusting our purchase orders to allow for freight increases, raw material increases, those kinds of thing. Of course, there's documentation required so we've been able to set up, a process to pass many of those increases on. The problem is that we have probably between 25% and 30% of our customers that are refusing to negotiate, being very difficult, standing behind the current contracts, and making it extremely difficult for us. So we have ramped up the conversations, we are now dealing with a very senior leadership in those particular companies, so that they understand that we cannot continue to absorb the raw material and freight increases for them. Having been successful with other customers, we expect them to fall in line as well. We are not complete with those negotiations yet but we are acting very aggressively and very strongly on insisting that we get that done, because we don't see any slowdown in the inflation, the price of steel, and other commodities continue to grow. And so as that happens, we need our partner customers to share that with us and we've been successful with, I'd say close to 75% of them. But the other one is not. So we need to drive that even harder here in Q4 and make sure that we enter 2022 without this overhang. 
David Ocampo: And how are those discussions in your rubber business, is it a better word or you don't have 20% or 30% of your customer base refusing any pricing? 
Frank Ientile: So AirBoss Rubber Solutions, every single one of our contracts, has the ability to pass on raw material in freight economics. So we're less concerned about ARS. The issue with ARS is that there is a timing issue. Traditionally, we were repricing all of our compounds quarterly but then when the raw material escalations started to happen fast and furious, we went to monthly pricing but even within that month, we're getting either increases that were not planned, or even forced measures where we were put on allocation on supplier, then we have to reformulate with a more expensive material. And so we're doing all these things, and therefore there's a lag. So as the raw material is going up, we're going to lag behind a little bit and as the raw material comes back down, we'll be able to pick that all up but it'll be out of period.
David Ocampo: Okay, that's great. I'll hop back in the queue. Thank you. 
Operator: Our next question is from Tim James, with TD Securities. Please go ahead.
Tim James: Thank you. Good morning, everyone. Maybe just sticking with the topic on the cost inflation and AEP in particular, Chris, if we assume from those remaining 25% to 30% of customers that have not been helpful in negotiations so far, if we assume that there is no further progress, over what period do those contracts actually expire, which would then provide you with a contractual opportunity to either reprice or walk away, and I'm just thinking about kind of the natural margin expansion opportunity that that could provide, I assume, as those contracts and you can reach new terms or decide the businesses and economic and you don't want it? 
Chris Bitsakakis: Yeah, that's a great question, Tim. And in fact, because it's multiple contracts, there's a range. Some of them start to drop off late 2022, the majority are dropping off in 2023, with the first half of 2024 being the stragglers, so to speak. So over the next one to three years, they will all have been finished and they will stop being a drag on our overall profitability. But because we see this inflation continuing, we need to be very, very aggressive to get those customers in line with what we require to keep supplying them even between now and the next year and the year after. 
Tim James: Okay, great. And then just in general, could you talk about your capital expenditure kind of plans, just some guidelines on what amount it could be for 2022 and then, sort of what were -- what type of investments that you're planning that we will make in 2022? 
Chris Bitsakakis: Yeah, so right now, year-to-date. As Frank has mentioned, we've spent about $13 million, and we should hit around $15 million by the end of the year. We are right this moment, we've just had all of our strategic reviews in each of the business units, where they gave us sort of their vision of the next one to three years in terms of their growth and expansion plans. And we have not solidified the CAPEX budget for next year. However, normally we're going to be right around what depreciation is. So we expect to be close to that $15 million. But some of the divisions have some interesting plans that could expand on that if there's good payback. 
Tim James: Okay, that's great. And then maybe one more question just quickly, for Frank. There was sort of reference to getting fairly close to break-even working capital in terms of cash usage for the year, I think in the second quarter call now. A lot of things have changed since then, can you give a bit of a sort of an update on where, if we think you can either comment on the fourth quarter specifically or the year as a whole kind of how working capital should be in terms of a drag or generator of cash for the year? Yeah, thanks Tim. A good question. Essentially, as noted, obviously Q3, one, we flipped into our new facility and quite a bit of working capital was tied up specifically on the inventory for the HHS nitrile gloves. In addition, obviously, there were some AR and investment in some safety stock inventory. We are now seeing the conversion of the remaining portion of the HHS contract converting in Q4 and the cash conversion is starting to come in. So we still anticipate to get close to that breakeven by year-end of deleveraging and obviously being in a very strong position, financially and from a cash flow perspective as we enter 2022.
Tim James: Okay, that's great. Those are all the questions I had. Thank you very much.
Chris Bitsakakis: Thank you. 
Operator: Our next question is from Kevin Chiang with CIBC. Please go ahead.
Kevin Chiang: Thanks for taking my question here. Maybe just following up on Tim's working capital question. I think in the prepared remarks, I guess the suggestion is your inventory will definitely normalize because we'll have delivered on the HHS glove contract. But in terms of accounts receivable, are there any receivables that bleed in from that contract into 2022 or does that get paid up by year-end as well or your anticipation that gets made up by year end as well? 
Frank Ientile: Yeah, that's a great question, Kevin. We anticipate and again, we have a very strong payment terms in that regard. We anticipate a very small portion to bleed into 2022 and I would suggest that probably be less than 10% of the remaining contract value that would bleed into 2022. But the conversion is going according to our plan in Q4 and we anticipate having very little overhang into the next year. 
Kevin Chiang: Okay, that's helpful. Maybe if I could turn to ARS and you know that Chris, the freight and commodity price pass through need a little bit of a timing delta and appreciate the volatility in those inputs today. If I look at, I don't know, what quarter you want to call the rapid pace of inflation picking up, but if I look at maybe some points in 2020, you're hovering in the high teens of gross margin within ARS. Today around 12%. So if I look at, I don't know, let's call it six, seven point delta, is there a way to think about how much of that like these structural costs you need to deal with, like higher labor versus maybe transient costs that you will recover as you pointed out, as some of these inflationary pressures, either ease or as you get to kind of recoup them through your -- through these contracts?
Chris Bitsakakis: Sure, I mean, certainly and particularly in Q3, there were some significant raw material challenges, both from a delivery and from a cost perspective, but also significant labor challenges as well. As you know, most of the regions that we operate within have certain allowances for time off or COVID-19 testing and other things like that. And we've seen with a lot of government subsidies for people, it's been very difficult to get people to come into work every single day. It's also very difficult to attract new people. So we've had to make some structural changes on our labor side to make sure that we attract, retain, and reward people that with strong attendance. So that's certainly I would call that a structural component, that we think we will also be able to build into our pricing going forward. And on the raw material side, we of course are in the process of building that and going forward.  So in terms of the actual structural piece of it, I think we'll be able to pass on all those additional costs to our customers through the cost of the product and the pricing that we offer. Because all of our competitors are in exactly the same boat that we are, everyone is having to address the labor issues, and it's certainly more costly. Everyone is addressing the absenteeism issues, and they're working more overtime. So those I think, will eventually get passed on. Now, having said that, Q4 has already started to come down a little bit on the labor side. But the raw material side has not continued to, it continues to increase. So we will build all those added cost into our pricing going forward, again, with a little bit of a lag time.
Kevin Chiang: Okay, that's helpful. And then you talked about some of the productive capacity you have within ARS, which I suspect is a real competitive advantage sheer, just given the supply chain disruptions broadly in your industry. I guess I'm wondering, what's the bottleneck to kind of get that utilization higher, is it primarily labor and maybe sourcing raw materials that's the bottleneck or is it getting the right contracts to make sure that customers or that you're not assuming too much risk given all the volatility and getting those contracts across the line have been the bottleneck, just wondering how you see the glide path forward to get utilization rates higher?
Frank Ientile: Yeah, I mean we have a very detailed and aggressive plan to continue to grow ARS organically and in organically, as we've mentioned before. In terms of bottlenecks, I'd say for Q3 labor was a real bottleneck, it was extremely difficult to, because you would schedule certain shifts, and you wouldn't be able to get them in. So it was a little bit difficult. Having said that things looked like they're starting to improve now in Q4. Raw material, of course, availability was the other bottleneck. So, we have opportunities for new customers but we would have to get new raw material and that was not necessarily part of our original forecasting. And now, it's months out instead of what it used to be weeks out to get increases in the raw material that you've already had allocated to you. I think both of those issues will come under control and we're working on several fairly large sized growth -- organic growth opportunities, particularly for Scotland Neck. We installed that new mixing line a year and a half ago and now we're starting to see the availability of the business to fill it as long as we can get the labor in line and the raw material. So we're pretty bullish on being able to continue to grow our capacity that way.  Now of course, there is a timing involved in that. First, you develop the formula and then you create small samples. The customer tries those samples, then you do larger samples, and then you get feedback, and then we have our people on their production lines taking notes on what needs to happen, what needs to change, and so that the product development cycle takes a little bit of time. But once we launch it it’s a very sticky relationship. As you know, most of our customers have been with us between 10 and 30 years, so once they come on board, they stay on board. So we're going to see a lot of organic growth in ARS. The only bottleneck is a little bit on the labor side and the raw material side. But even there, we're finding ways to mitigate that now.
Kevin Chiang: Okay, that's helpful. And if I could just squeeze one more in here. I appreciate the challenges within engineered products but I guess if I -- if I look at your revenue in the quarter was let’s call it flat quarter-over-quarter, which I would argue outperformed a lot of other auto suppliers. So just wondering, maybe why you think that was if there's anything you point out as to maybe why you would have outperform, let's say, production numbers for autos, which I suspect would be the primary driver of sales? And then is there a mix issue here, like, are you winning more non-auto business, and that's helping offset maybe some of the weakness on the auto side and its just kind of washing out as being flat quarter-over-quarter?
Chris Bitsakakis: Yeah, thanks Kevin. Our business at AEP is focused on trucks and SUVs. And that normally is stronger than the small car platforms. And so that may be one of the reasons behind it but we've not analyzed it specifically, but that would be our first guess. 
Kevin Chiang: Okay, I'll leave it there. That's very helpful. Thank you very much for taking my questions.
Chris Bitsakakis: Thank you. 
Operator: Our next question is from Maggie MacDougall with Stifel. Please go ahead. 
Maggie MacDougall: Good morning. Wondering if you guys could give us a little bit of a preview into how we should be thinking about 2022. I mean, we've talked a lot on the call about various challenges around supply chain and all kinds of things which is of course, very important but I think probably more important is the progression of things like Blast Gauge, the HHS gown order contract, and the rest of your backlog in healthcare and defense because the supply chain stuff will eventually get sorted out and these are the things that are really going to be the drivers of value for shareholders in the future. So when we think about Blast Gauge, can you give us an update on how that has progressed, where you view internally the milestones to be, and how we should all be thinking about that opportunity?
Gren Schoch: Megan, it is Gren. We haven't put out guidance for 2022 yet, obviously. Except for when we made the Ace acquisition, we said that we expected that would contribute about 28% or so of EBITDA growth to rubber solutions. The Blast Gauge opportunity, we expect to get awarded sometime in 2022 but we don't have a date yet on that. So I would push you -- I wouldn't think we'd have huge Blast Gauge revenue in 2022. More ramping up towards the end of 2022 going into subsequent years.  As we've mentioned numerous times in the past we have well in excess of a billion-dollar pipeline and we expect reasonable to good success on that pipeline. And we certainly expect growth to continue in 2022 and 2023 but we haven't been specific as to guidance yet. We don't even have our internal budgets approved yet, not typically happens in mid-December. So when we have that or when we have firm contracts from the pipeline as opposed to indications, we will announce some of the material.
Maggie MacDougall: Okay, thanks. With regards to milestones on Blast Gauge, this is a new product that's going to be hopefully adopted by the military. Are there progress markers that we should be thinking about outside of formal guidance ranges, just more thinking about progression of that opportunity?
Chris Bitsakakis: We're working on two specific opportunities with Blast Gauge. One of them has had a number of milestones throughout the year where we were required to deliver various stages of final prototypes for lack of a better word. And the last final one is due to be delivered in December. So assuming that that is dead, and that doesn't require any further tweaking, they should be making a decision within sort of normal government timeframe much, there has been some stuff in the press fairly recently about complaints that the brain damage caused by recent incidents wasn't measured accurately. So there's increasing political pressure to get moving on this. So, we're hopeful that it'll happen sooner rather than later but unfortunately, it's a bit beyond our control, which is actually totally beyond our control. But -- so anyway, the last thing due from us, to them is in December. So we will deliver on schedule in December to them and they'll evaluate and make a decision right after that.
Maggie MacDougall: okay, great, thanks. And just for clarity, Blast Gauge is not included in your billion-dollar backlog, because it's not something we've actually completed in our field yet?
Gren Schoch: No, I mean, this minor amount is -- I mean, we are not selling Blast Gauges, we do sell relatively small quantities of them. And anything that -- we have got some requirements for next year, but nothing material.
Maggie MacDougall: Okay, thanks. And then on the HHS gown contract, which was listed on the website on Friday, the notice for sole source opportunity. I read here that no more proposals can be entered past November 12th, which is the end of this week. What sort of timeframe are you expecting with regards to a determination by the government on that potential opportunity?
Gren Schoch: We don't have any more information than was put on their website.
Maggie MacDougall: Okay. Okay, thanks. I'll get back in the queue.
Operator: Our next question is from Ben Jekic with PI Financial. Please go ahead.
Ben Jekic: Good morning. I have two questions maybe for Frank, just with regards to net debt. If you can just maybe elaborate a little bit how we should think about that until the end of 2022. So I'm assuming there will be a rebound in the fourth quarter after the glove shipment is delivered. Is it going to be sort of like a Q2 level plus, plus what was borrowed to pay for Ace Elastomer or…?
Frank Ientile: Yeah, thanks for that question Ben. Yeah, we expect the deleveraging profile to put us back into sort of the Q2 level of net debt, with the addition obviously of Ace but we anticipate strong cash flow with significant deleveraging profile and, by the end of 2022 again, it's very early, but subject to our working capital requirements, we're going to be in the same healthy position that we've seen sort of earlier this year, both in Q1 and Q2.
Ben Jekic: Oh, that's great. And then the second question, minor question with regards to 2021 guidance, you're still keeping, if I'm calculating correctly about $80 million range on the revenue side. And now we're sort of two months before the end of the year, is it -- is there a reason why it's still at the 80 million, like what does 630 represent versus 710, like are you keeping some flexibility for last minute orders or…?
Frank Ientile: Yeah, that goes back to our original guidance and that’s obviously subject to everything that's going on with customers, both on the ARS side and the AEP side. That's the range we've given and we are sticking within that range from previous note. There's nothing built in for cushion but we wanted to give ourselves that flexibility subject to the volatility in the market, as it relates to volumes and sales. But we're still reconfirming our full year guidance.
Ben Jekic: Got you. Okay, thank you, I will go back in the queue.
Operator: This concludes the question-and-answer session. I would like to turn the conference back over to Gren Schoch for any closing remarks.
Gren Schoch: Thank you, operator and thank you again to everybody for attending this morning's call. We're all proud of how we performed this year and I want to thank employees across the organization for this. We're excited for the future of the company going forward. Until then, we hope you're all keeping safe and well and we will talk to you on the next call. Thank you. 
Operator: This concludes today's conference call. You may disconnect your lines. Thank you for participating and have a pleasant day.